Operator: Greetings, and welcome to the Cohu Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Jeff Jones, VP of Finance and Chief Financial Officer. Thank you. Sir, you may begin.
Jeffrey D. Jones: Good afternoon and welcome to our discussion of Cohu’s most recent financial results. I am joined today by our President and CEO, Luis Müller. Following our opening remarks, we’ll provide details of our performance for the third quarter of 2015 as well as our outlook for the fourth quarter of this year. If you need a copy of our earnings release, you may obtain one from our Web site, cohu.com, or by contacting Cohu Investor Relations. Before we begin, you should all be aware that during the course of this conference call, we will may forward-looking statements reflecting management’s current expectations concerning the company’s future business. These statements are based on current information that we have assessed, but which by its nature is subject to rapid and even abrupt changes. Forward-looking statements include our comments regarding the company’s expectations for industry conditions, future operations, financial results, market share gains, expansion into new markets and any comments we make about the company’s future in response to your questions. Our comments speak only as of today, October 29, 2015, and the company assumes no obligation to update these comments. We encourage you to review the forward-looking statement section of the earnings release as well as Cohu’s filings with the Securities and Exchange Commission, including the most recently filed Form 10-K and Form 10-Q. Cohu assumes no obligation to update these statements as a result of developments occurring after this call. Further, our comments and responses to any questions will not make reference to any specific customers, as we are precluded from disclosing such information by our non-disclosure agreements. Luis?
Luis A. Müller: Thanks, Jeff, and good afternoon. In the third quarter of 2015, Cohu again delivered solid financial results and better than forecasted profitability. We received customer validation of our new equip handler capturing the first volume order from a globally recognized industry leader. We are excited about the momentum and strength of our thermal products that enable next-generation of mobile processor tests. While SEMI reported a 38% decline in backhand equipment orders in September, utilization across our install base dropped slightly to 77%. We’re encouraged by share gains with our new products that are more than compensating for the near-term market softness, as we reported a sequential increase in orders. We increased market share from last year to 36% and continued to focus on high-growth applications and customers to capture additional market share this year. With 43% of total system orders, automotive remained our strongest end market. Although we do well in all segments of the automotive market, particularly right now we’re seeing strong demand for handlers testing power semiconductors. Most automotive companies in the world are trying to fuel the electric, hybrid and plug-in hybrid vehicles. The trend towards electrification of vehicles is becoming a significant driver of our gravity handler business. We anticipate excellent opportunities and growth as various countries work to meet new carbon emission targets to reduce greenhouse gases and improve air quality. There is a push not just on the consumer side with cars but also from government entities should drive the electrification of public transportation. Additionally, relentless growth from electronic content in cars related to safety, entertainment and the upcoming driver assist capabilities will continue to be a major driver of our business. We scored a key design win with our Saturn handler at a customer in China, continuing to gain market share in the gravity segment. Since the acquisition of Rasco in December 2008, we have almost tripled market share in this segment from approximately 17% to 50%, expanding the customer base and capitalizing on the strength of our global customer support organization. Several orders were received from MEMS test units for pressure and magnetic sensor applications that are prevailing in new vehicles. Although the logic test segment slowed, we captured two new customers in China and Taiwan, yet another affirmation of our product leadership and the tri-temperature pick-and-place market. We also gained further traction at a large Japanese IDM with our current handlers. The consumer and mobility market was 29% of system orders. As I mentioned upfront, we reached a key milestone in Q3 with our first volume order for the Eclipse pick-and-place handler that incorporates Cohu’s proprietary T-Core thermal technology to tightly control device temperature during test, optimizing yield. You may recall that last year, we won a major mobile customer with our T-Core thermal subsystems, which contributed to our 48% organic revenue growth in 2014. We have now captured a second large customer in this market. As mentioned in our last call, we expected to see new tooling requirements for late this year and into the first half of next year for production test of mobile processors that will power 2016 models, smartphones and tablets. This order was the beginning of this process and we forecast additional capacity requirements in the coming quarters. We’re exploring future opportunities for our thermal technology in testing wearable processors. Repeat turret handler orders were received from a leading Korean customer for test and inspection of RF devices. Additionally, we captured two new customers for our turret handlers and expect to capitalize on that success for future cross selling of our pick-and-place systems. In the last year, we have made substantial progress in the Korean market securing several design wins and expanding our presence in that country. A major milestone was achieved in the quarter towards expanding our addressable market in wafer-level package tests. We received the first customer order for our new program. Development will continue over the next several quarters and this early customer commitment is a strong validation of our strategy and approach to solving the wafer-level package tests discontinuity. As device complexity and silicon integration increases, so will opportunities for optimizing yields in upstream tests ensuring quality in advanced IT packages. Computing was 19% of system orders and stronger than expected. We received additional orders for turret handlers with demand tied to a new device family launched by a key customer testing datacenter and for additional PC processors. Another key U.S. customer placed the first order for the tri-temperature T-Core configuration of the Eclipse handler that is still in development, another validation of our roadmap for next-generation active thermal solutions for high-powered dissipative server processor test. Solid-state lighting was 9% of system orders. A current major European customer continued to ramp production and placed a multiunit order for turret handlers. We expect to benefit from further capacity expansions for automotive application by this leading high-powered LED manufacturer in the fourth quarter. Progress is being made in parallel testing of LEDs for general lighting applications. With a new system that we expect to bring to market next year, our focus is to provide innovative solutions that can disrupt the status quo, significantly improve yield and productivity and give us a technological advantage to capture new customers and profitably grow market share. A leading European automotive customer qualified our contacting solution last quarter for testing power management semiconductors with our strip handlers. We’re also executing our plan to train engineers and install production capability for RF contacters for signing a licensing agreement that provides access to critical technology enabling Cohu to supply solutions for high-frequency device test applications. Looking forward, we’re encouraged by the positive reception from customers for new products, recent share gains and continued momentum across multiple end markets. Although industry conditions are soft and the December quarter is typically weaker, we’re creating opportunities for design wins that are bucking that trend. Over the long run, we see secular growth in automotive, industrial and mobility markets driving higher semiconductor unit volume and increase in the functionality and packaging challenges fueling higher complexity in thermal and test automation. While test is reducing the cost of ATE and the ATE market, that’s not the case with handlers. If test shows an increase, so does handler complexity and ASP because mechanical systems do not benefit from scale as electronics do with [indiscernible]. For these reasons, we expect the handling equipment market to continue to outpace the growth for the ATE market. With our industry-leading market position, broad product portfolio and proprietary technologies that are aligned with emerging IC industry requirements, we’re excited about Cohu’s prospects. Let me now turn it over to Jeff for further details on our third quarter financial results and fourth quarter guidance.
Jeffrey D. Jones: Thanks, Luis. Before I move into Q3 financial details and our Q4 outlook, I’d like to touch on a few highlights from our results. We had strong cash generation with cash from operations of 20.8 million. And this was our seventh consecutive quarter of non-GAAP profitability with adjusted EBITDA of 10.1% and EPS of $0.17, both of which are in line with our near-term financial model at this level of revenue. Our GAAP to non-GAAP adjustments included approximately 1.6 million of stock-based compensation expense, 1.7 million of purchase intangible amortization expense and approximately 200,000 of restructuring costs. My comments are based on our non-GAAP results, which exclude the impact of these items. A reconciliation of non-GAAP measures to GAAP equivalent measures can be found in our earnings release located on the investor information section of Cohu’s Web site. As a reminder, in 2014, we sold our video camera business and on June 10, 2015, we sold our microwave communications business. The operating results for these businesses are presented as discontinued operations with all prior periods announced being reclassified. Unless other noted, all amounts discussed on this call are from continuing operations. Now, moving into Q3, sales and profitability were better than guidance. Sales were 67.5 million compared to our forecast of approximately 66 million due mainly to stronger recurring revenue and demand from our turret handlers. In Q3, two customers represented 10% or more sales, one in mobility and the other in the computing market. Q3 gross margin was also stronger than expected at 35.9% and benefitted from lower product costs and higher margin sales of more complex turret-based systems. Operating expense was 18.4 million, lower than our estimate due to the strengthening of the U.S. dollar against the Swiss Franc and the Malaysian Ringgit. The effective tax rate on income from continuing operations was approximately 24%. For Q4 and full year 2015, we’re modeling a tax rate of approximately 20%. Our balance sheet also strengthened during the quarter with cash and equivalents growing to 90.7 million, DSO was down to 80 as a result of improved cash collections and we reduced inventory by another 2.3 million. Additions to property, plant and equipment in Q3 were approximately 1.5 million and depreciation for the third quarter was approximately 1 million. Deferred profit as of September was 5.7 million, which is down 1.9 million quarter-over-quarter and the related deferred revenue at the end of Q3 was 8.6 million, down 3.5 million sequentially. Cohu’s directors approved a quarterly cash dividend of $0.06 per share payable on January 4, 2016 to shareholders of record on November 20, 2015. Now moving to our guidance for Q4, we expect sales of approximately 63 million with gross margin of about 32%, which is lower than our financial model due to lower recurring sales and the initial production of our new Eclipse handlers in the higher cost San Diego facility. Building production handlers in San Diego is not in line with our operating model, however, we did this for a number of unique reasons. First, as we’ve discussed previously, we’re in the process of combining our Malaysia facilities, which began in Q4 and we’re not in a position to support this new product ramp concurrent with the move. Additionally, the Eclipse handlers are quickly gaining market attraction and we decided to satisfy the initial customer ramp from our current San Diego operations. We’re in the process of transitioning the manufacturing of the Eclipse to Asia and plan to have the first units manufactured in our factory by the end of this year. In Q1 of next year, we expect 50% of Eclipse handlers will be manufactured in Malaysia and we’ll reach full capacity for this product by Q2. As previously disclosed, we are in escrow to sell our San Diego facility for approximately 34 million and leaseback approximately 40% of the building for the next 10 years. We expect to close escrow later in Q4, however, the transaction remains subject to normal closing conditions. In the future, pick-and-place product introductions will transition to Malaysia in a much shorter timeframe limiting the initial pilot builds in San Diego where we will not have the capacity to support large builds based on the reduced facility footprint. Our operating expenses for the fourth quarter are expected to be about the same as Q3 and we expect to incur approximately 200,000 of restructuring costs in Q4, which are associated with the transition of manufacturing to Asia. As our balance sheet continues to strengthen and our cash balance grows through operations and with the potential cash from the facility sale, we’re well positioned financially to execute on our strategic growth plans and test contacting and wafer-level package probe. On December 10, Luis and I will be presenting at the 4th Annual Midtown CAP Investor Summit in New York City and in mid-January, we’re planning to participate in the Annual Needham and Sidoti Investor Conferences also in New York City. That concludes our prepared remarks. Now, we’ll take your questions.
Operator: Thank you. [Operator Instructions]. Our first question is coming from the line of Edwin Mok with Needham & Company. Please proceed with your question.
Y. Edwin Mok: Thanks for taking my question. Congrats on very good profitability third quarter. So first question I have, did you guys disclose your booking number for the quarter?
Jeffrey D. Jones: No, we did not and that’s consistent with our approaching Q2.
Y. Edwin Mok: What’s that again, sorry?
Jeffrey D. Jones: We didn’t disclose it in Q3 and that’s consistent with our approaching Q2.
Y. Edwin Mok: Yes, it is. So can you at least describe what’s the deal about one below one in the general items?
Luis A. Müller: I did make a comment that we saw a sequential increase in orders in Q3, Edwin.
Y. Edwin Mok: Okay, that’s helpful actually. So maybe I want to dive a little bit on the market condition. I think you mentioned that SEMI has reported to be top numbers but it sounds like you guys are doing a little bit better than the market, right, initiating both the products that you have. Do you have a view in terms of how the market is progressing on this quarter? I know [indiscernible] this quarter.
Luis A. Müller: It’s difficult to talk about market for beyond this quarter, meaning next year at this point in time, Edwin. It’s too early to talk about that.
Y. Edwin Mok: Okay, great. That’s fine. On the Eclipse product on the recent announcement, I think you guys gave some color on the prepared remarks. I was wondering how – at least based on what the customer has indicated to you so far, how do you see contact ramp up happening? Is the majority of the orders being shipped in the fourth quarter or are we starting with a slow ramp up and expect a stronger shipment to that order as we get into 2016?
Luis A. Müller: Yes. So as I mentioned and actually it was in the last call, we are expecting to see capacity and frankly new capability additions starting already at the end of this year and into the first half of next year for the new smartphone and tablet models that we’ll be launching in 2016. So we continue to forecast additional demand. And this is really from both of our customers. I mentioned we have really two leading customers there for thermal products, which can ship starting Q4 and into next year.
Y. Edwin Mok: I see. Okay. So it sounds like not everything is happening – or happening in the fourth quarter. There will be some additional or even greater shipment in the coming year. On the [indiscernible] product, I think you mentioned that you received an order during the quarter. That order is for first evaluation or data. Can you give us some color on that and in terms of timing of revenue and potential follow-on order, any way you can give us some views on that?
Luis A. Müller: Sure. So for this product, we believe we have sort of a very unique solution solving a real challenge out there in the industry, which is singulated testing of WLP and we received a first order, so obviously what can I say, it’s the very first order for this product which is still in development. That’s actually highly unusual in our industry to be honest with you and a good testament of the value proposition on the product. We may be able to have some revenue in 2016 from this product line. By and large, this is a product that we would see ramping in production 2017 forward.
Y. Edwin Mok: I see. So basically the two is being developed but the customer is excited about the potential, so they place an order [indiscernible] first two when the development is complete --
Luis A. Müller: That’s right.
Y. Edwin Mok: I see. Okay. Last question I have and I’ll let the other guys ask, on the contacting side of the business, I think you mentioned you signed a contract related to RF contacts there. Can you give us some color in terms of that opportunity there? I think it’s typically pretty [indiscernible] to highly valued in the marketplace. So is that an area that you guys are focused on driving growth now or is it just one or it depends on growth for the contacting business?
Luis A. Müller: I’m not sure I completely understood the question here, Edwin, but just a little bit and hopefully this answers your question. We haven’t really done a lot this year in contacters. A lot of it is actually not visible from the outside. We have developed technologies, products, still in development, built infrastructure or still building infrastructure in the Philippines to manufactured contacters. And we have established a first licensing agreement to get access to key RF technology. Sure, we still have a lot more work to do but I’ll say we’re setting up the stage for growing the revenue stream in the contacter space. That’s one of our key strategic initiatives as I mentioned. On the RF and particularly we see that being about $70 million to potentially $90 million segment, a $650 million contacter market. I continue to be very confident and extremely committed to expanding our revenue stream in this new addressable market. And I hope that answers your question.
Y. Edwin Mok: Yes, I was having no question [ph] so I looped a few things together, but you kind of touched on key points in terms of price in that market and where you’re in that license agreement. That’s all I have. Thank you very much.
Luis A. Müller: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Jairam Nathan with Sidoti & Company. Please proceed with your questions.
Jairam Nathan: Hi. Thanks for taking my questions. First, Luis, is there a way you can handicap this Eclipse order and not this order specifically but the margin and what could be the potential here?
Luis A. Müller: Yes, it’s a little bit tricky to do that but I do believe that in the near term, the opportunity with the Eclipse is probably going to be about half the size of that first major customer in the mobile processor arena that we capture, and the right revenues last year that key element of our 48% organic growth in 2014. So that’s sort of a ballpark for the near-term opportunity.
Jairam Nathan: Okay. And Jeff on the [indiscernible] sale and leaseback, can you – just for modeling purposes, can you let us know like what would be the impact on lower D&A, higher rent expense? Would that kind of knock you to the route or is there an impact?
Jeffrey D. Jones: Right, Jairam. We don’t expect a significant impact to the operating cost as a result of the leaseback. We’re basically replacing the depreciation expense as you mentioned and some other facility costs, replacing that with the rent expense but the rent expense is based on only about 40% of the building.
Jairam Nathan: Right, okay. And what is the – you own the building even in Germany and U.S. moving production out of there as well, so what’s the potential of doing a similar transaction in Germany?
Jeffrey D. Jones: I think it’s very low. The facility there will still be used for Thailand. It’s a much smaller facility, so at the moment we don’t have similar plans for that facility.
Jairam Nathan: Okay, thanks. That’s all I had.
Operator: Thank you. Our next question is coming from the line of Patrick Ho with Stifel. Please proceed with your question.
Unidentified Analyst: Hi, there. This is Brian [ph] calling in for Patrick. Hi, Luis. Thank you for letting me ask a question.
Luis A. Müller: Hi, Brian.
Jeffrey D. Jones: Hi, Brian.
Unidentified Analyst: Hi, there. First question again going back, Q4 expected revenue decline has been fairly benign, especially again factoring in the widely reported weaker semiconductor environment. To better appreciate the impact of your share gains, can you give us a sense of how much sales might have pulled back or not to your recent wins or perhaps what you would characterize as normal Q4 seasonality?
Luis A. Müller: That’s a difficult one to answer not without going back into typical past few years Q4 seasonality but I think you can perhaps as a better reference look at some of the other companies, maybe even ATE companies in the backhand space. I think that gives you a good gauge for what the ATE which – or pretty much part of that industry is seeing typically for Q4 softness and contrast that with what we’re guiding for.
Unidentified Analyst: Sure. Got it. I know some of them have talked about 40%, 50% order declines and you’re talking about a sequential order increase in Q3, okay. Maybe second question, some semiconductor companies have recently talked about weaker demand and inventories that were specifically in their automotive end market. And given your very strong position in the auto market, can you discuss whether this near-term impact to your gravity handler business?
Luis A. Müller: Yes, what I’ve seen and again this is perhaps as much deck on hand as you are or directly from customers, which is also deck on hand in some degree is more of a inventory build up on perhaps more of the microcontroller side or more the digital side as I recall on the automotive. But if you go down to the analog ICs, I would say the inventories have – even the challenge seems to be leaner and the opportunities are greater. And that’s why I commented here we’re seeing stronger pull in the quarter on the automotive for our semiconductors or sort of analog type ICs for our gravity handlers, and despite sort of a softer digital side of the automotive market. So it’s kind of – there’s one positive and one negative in there in reality.
Unidentified Analyst: Okay, got it. Thank you.
Operator: Thank you. [Operator Instructions]. Our next question is coming from the line of Dick Ryan with Dougherty. Please proceed with your question.
Dick Ryan: Thank you. Luis, you mentioned previously that one of your key auto customers was going through some M&A, hopefully closing the fourth quarter and that was kind of putting a pause in some of your orders. What are you hearing from that customer and is that kind of pushing business into 2016?
Luis A. Müller: Yes, look what I got right now is pretty much the same as I said the last quarter. They still haven’t closed and expecting that this is going to happen in Q4. I actually believe individually their businesses may be a little soft right now. I don’t know exactly what it means for 2016 at this time, Dick. I mean we’re in the process of collecting data – our sales team collecting data and building up a future forecast or potential forecast. So I don’t know at this time if – as they close it, there will be sort of a spring back or how soon would there be a spring back in capacity addition for their businesses.
Dick Ryan: Okay. And Jeff, you talked about the Eclipse production moving to Malaysia. Can you refresh me on where you are with the rest of the capacity move over there?
Jeffrey D. Jones: At the end of this year, so the next couple of months we’ll have capacity in Malaysia to manufacture about 70% of our handlers in total. That will climb to probably roughly 90% at the end of next year. We’ll always have a small amount pilot built and whatnot that we’ll do within our development centers.
Dick Ryan: Okay. Luis you talked about the utilization rate dipping I think 77%. When you look at Q4 in your various sectors, is there any sort of contribution shift that you’re anticipating, auto, mobility, computing versus what you saw in Q3?
Luis A. Müller: You mean looking ahead in orders for Q4.
Dick Ryan: Yes.
Luis A. Müller: I would expect just basically and based on the past couple of years’ seasonality, I would expect the mobility market to start ramping up. Even like I mentioned in our Q2 earnings call, I still feel the same thing that the mobility market would start ramping ahead of everybody else already in Q4. And frankly they already started here in Q3 but I expect that to accelerate into Q4. And then in test, just looking at test seasonal patterns, I would think a lot of the other segments are going to wait and see before or after Chinese New Year as they have seen in the past. I would say LED is typically strong. The solid-state lighting market is typically strong in the fourth quarter or in the second half of the year in general.
Dick Ryan: Okay. Thank you.
Luis A. Müller: Welcome.
Operator: Thank you. It appears we have no further questions at this time. I’d now like to turn the floor back over to Mr. Müller for any additional concluding comments.
Luis A. Müller: Thank you. Thank you for joining us on today’s call. We look forward to speaking to all of you at the upcoming investor conferences or when we report our fourth quarter and full year 2015 results. Have a good day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your participation and you may disconnect your lines at this time.